Operator: At this time I’d like to welcome everyone to the World Fuel Services, 2012 third quarter earnings call. My name is Dana, and I’ll be your event specialist today. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. Instructions on how to ask a question will be given at the beginning of the Q&A session. It is now my pleasure to turn the webcast over to Mr. Jason Bewley, Vice President of Corporate Finance. Mr. Bewley, you may begin.
Jason Bewley: Good evening everyone and welcome to the World Fuel Services third quarter 2012 conference call. My name is Jason Bewley, Vice President of Corporate Finance and I’ll be doing the introductions on this evening’s call alongside our live slide presentation. This call is also available via webcast. To access the webcast or future webcasts, please visit our website www.wfscorp.com and click on the website icon. With us on the call today are Michael Kasbar; President and Chief Executive Officer; and Ira Burns, Executive Vice President and Chief Financial Officer. By now you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I’d like to review World Fuel’s Safe Harbor statement. Any statements made or discussed today that do not constitute or are not historical facts, particularly comments regarding World Fuel’s future plans and expected performance, are forward-looking statements that are based on assumptions that management believes are reasonable, but are subject to a range of uncertainties and risks that could cause World Fuel’s actual results to differ materially from the forward-looking information. A summary of some of the risk factors that could cause results to materially differ from our projections can be found in the Form 10-K for the year-ended December 31, 2011 and other reports filed with the Securities and Exchange Commission. We’ll begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. At this time, I’d like to introduce our President and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you Jason and good afternoon everyone. Today we announced third quarter net income of $51.5 million or $0.72 per diluted share. We are pleased with the results we delivered this quarter. They are a true testament to the focus of our global team and the durability of our business model in volatile markets. We are further developing our business reach across all of our business segments, while maintaining our strong risk management disciplines. Our market expertise and comprehensive value added service offers differentiate World Fuel as a robust solutions provider and counter party of choice for our customers and suppliers worldwide. Our marine segment once again delivered solid results. Sequential volumes increased modestly as we remain selected in our reselling activities to maintain a high quality customer portfolio. The resiliency of our business model was again demonstrated this quarter in the midst of one of the worst shipping markets in memory. This speakers volumes about the quality of our global teams and their coordinated execution. The aviation segment rebounded in the third quarter posting record volumes as we saw our core commercial reselling in general aviation businesses, all report solid volume increases. Our results were impacted positively by seasonality and a rise in jet fuel prices. While the aviation industry is challenged in many segments our teams performed well in volatile markets and these environments provide opportunities to aggressively develop organic growth worldwide. In our land segment, we continue to develop our diversified product offering in addition to our branded and unbranded distribution businesses. In September we announced the completion of the acquisition of CarterEnergy. Based in Overland Park, Kansas with 2011 volume in excess of 500 million gallons, CarterEnergy is a braded distributor for Phillips 66, BP, Valero, Suncor, Shell, ExxonMobil, Cenex and Sinclair. The company distributes gasoline and diesel fuel under long-term contracts to more than 700 retail operators and is a supplier to industrial, commercial and government customers in 14 western states. This addition of CarterEnergy takes our global land volume to more than 3.5 billion gallons and more importantly adds an experienced, talented and enthusiastic team. We are excited about the opportunities that lie ahead for our land segment worldwide as we grow the business organically and through strategic investment opportunities. While our ability to leverage operating efficiencies, technology and in-depth industry expertise’s continues to serve us well as we grow our business, strategic investments remain an important element of our growth strategy. The Carter acquisition is an example of our ability to quickly executive on a strategic opportunity, as we actively exposure additional growth opportunities in an environment where the pipeline comminutes to grow. Our strong and liquid balance sheet provides us with the ability to continue acting upon such opportunities quickly. Across all three segments we continue to expand the breadth and depth of our service offerings, whether it’s the icing fluid and aviation, rail car and crude oil in land or lubricants and logistics in marine, we are processing across all of our businesses. These activates demonstrate our entrepreneurialism and provides us with greater opportunities for growth and value creation for our supplies and customers. I am particularly proud of our global teams ability to continue to executive our strategy and plan for growth across all of our business segments. While our quarter-to-quarter results will be influenced by market conditions, price volatility and our risk management discipline, we are very confidante about the long-term value creation we are driving within the energy, transportation, logistics and transaction processing spaces. Our balance sheet remains strong, our business development pipeline is full and our ability to leverage operating efficiencies, technology and in-depth industry expertise continues to serve us well as we grow our business. I will now turn the call over to Ira for a financial review of the results. 
Ira Burns:  Thank you Mike and good afternoon everybody. Consolidated revenue for the third quarter was $9.9 billion, up 3% sequentially and up 4% compared to the third quarter of last year. The year-over-year change in revenue was impact by that 4% increase in total volume across our businesses, as well as the increase in crude oil prices, which increased to an average of $92 a barrel in the third quarter, compared to $90 in the third quarter of last year. Our Marine segment revenues were $3.6 billion, that’s down $137 million or 4% sequentially and down $415 million or 10% year-over-year. Approximately 58% of the year-over-year decrease was a result of lower volume and the remainder was a result of lower fuel prices during the quarter. Our aviation segment generated revenues of $3.8 billion, that’s up $275 million or 8% sequentially and up $283 million or 8% year-over-year. The entire year-over-year increase was a result of increased volume, which was partially offset by lower average fuel prices. And finally, the land segment generated revenues of $2.5 billion, up $154 million or 7% sequentially and up $533 million or 28% year-over-year. Approximately 87% of the year-over-year increase was a result of increased volume, and the remainder was a result of higher average fuel prices during the quarter. Despite continued volatility in the Marine market place, volume in our marine segment increased 2% from the second quarter to 6.5 million metric tons. When compared to the third quarter of last year, volume is down 6% and fuel re-selling activities constituted approximately 89% of total marine business activity in the quarter, which is in line with the past few quarters. Our aviation segment had volume of 1.15 billion gallons during the third quarter, up 87 million gallons or 8% sequentially and up 107 million gallons or 10% year-over-year. And finally our land segment reported quarterly volume of 786 million gallons during the third quarter, up 29 million gallons or 4% sequentially and up 153 million gallons or 24% from last year’s third quarter. Our land segment results this quarter include one month of the recent CarterEnergy acquisition, which was completed at the beginning of September and had volume in excess of 500 million gallons last year. Including Carter, our land segment now is an annual run rate exceeding 3.5 billion gallons. Consolidated gross profit for the third quarter was $181 million, which represents an increase of $9 million or 5% sequentially and an increase of $10 million or 6% compared to the third quarter of last year. Our marine segment continues to deliver good results, despite continued difficult market conditions with gross profit of $54 million in the third quarter. This represents an increase of $2 million or 4% sequentially and an increase of $4 million or 8% year-over-year. Despite current market conditions, we continue to find opportunities in the marine market place, while maintaining a strong risk management discipline. Our aviation segment contributed $84 million of gross profit in the third quarter; that’s an increase of $15 million or 22% sequentially and flat year-over-year. As projected on last quarter’s call, government activity was generally flat when compared to the second quarter and we expect a similar result in the fourth quarter of this year. Our self supply models jet fuel inventory position was approximately 92 million gallons or $318 million at the end of the third quarter, up from 87 million gallons and $267 million at the end of the second quarter, supporting increased commercial volume during the quarter. In the third quarter, due to the increase in jet fuel prices, we recognized a benefit related to our inventory position in excess of $5 million. Aviation gross profit also benefited from an 8% sequential increase in volume across both our commercial and general aviation businesses, driven in part by seasonality over the summer months. Our land segment delivered gross profit of $43 million in the third quarter, a decrease of $9 million or 17% sequentially, but an increase of $6 million or 16% year-over-year. The sequential gross profit decrease was principally driven by lower gross profit than our crude oil marketing joint venture in North Dakota. As I mentioned last quarter, our crude oil business began experiencing greater competitive pressures in the later part of the second quarter, which continued into the third quarter. The end result was a somewhat larger decline in gross profit than projected on last quarter’s call. Based on crude activity levels in the Balkan region, we do not expect fourth quarter results to differ materially from what we experienced in the third quarter. Operating expenses in the third quarter, excluding our provision for bad debt were $106 million, which is up $7 million sequentially and $9 million compared to the third quarter of 2011. Please keep in mind that these expenses include one month of activity related to the Carter acquisition. Our operating expenses exceeded the higher end of the range provided on last quarter’s call. Operating expenses excluding bad debt expense, intangible amortization and Carter as a percentage of gross profit still declined to 56% this quarter, down from 57.2% for the first half of 2012. For modeling purposes, which will now include by the way a full quarter of the Carter energy acquisition, I would assume overall operating expenses, excluding bad debt expense of approximately $104 million to $108 million in the fourth quarter. Our total accounts receivable balance was $2.4 billion at the end of the third quarter, that’s up approximately $255 million compared to the second quarter due to increased volume and fuel prices across all three of our business segments. Our bad debt expense in the third quarter is approximately $3.6 million, that’s up $3 million sequentially and up $1.2 million compared to the third quarter of last year. The sequential increase in bad debt expense primarily relates to the $255 million increase in accounts receivable. The quality of our receivables portfolio remains strong and we believe that we remain adequately reserved. Consolidated income from operations for the third quarter was $71 million; that’s a decrease of $1 million or 2% sequentially, but flat year-over-year. Our marine segment’s income from operations was $27 million for the third quarter, down $600,000 or 2% sequentially, but an increase of $2 million or 10% from last year’s third quarter. In the third quarter income from operations in our aviation segment was $40 million, up $14 million or 53% sequentially, but down $1 million or 3% compared to the third quarter of 2011. And finally our land segment had income from operations of $18 million; that’s a decrease of $10 million or 36% sequentially and $500,000 or 3% year-over-year. Once again, third quarter results were negatively impacted by weaker results in our crude oil marketing and logistics joint ventures during the quarter. Please also note that the $10 million sequential decrease in operating income was offset in part by a $4.9 million decrease in minority interest. Consolidated EBITDA for the third quarter was a record of $80 million; that’s an increase of $6 million or 7% sequentially and an increase of $1 million or 2% year-over-year. Non-operating expenses, primarily consisting of interest expense were $3.5 million for the third quarter, down $2 million compared to the second quarter and $3 million in the third quarter of last year. The decrease in non-operating expenses this quarter was principally a result of lower average borrowing during the quarter. Excluding any FX impact, I would assume non-operating expenses to be between $4 million and $5 million in the fourth quarter. The company’s effective tax rate for the third quarter was 21.7%, that’s up from 17.9% last quarter and 16.5% in the third quarter of last year, as a result of a fairly significant increase in domestic income during the third quarter, which is obviously taxed at much higher rates. However year-to-date our tax rate is 17.5%, generally consistent with our 18% rate for the first nine months of 2011. For modeling purposes, our tax rate in the fourth quarter should be between 19% and 23%. Our net income for the third quarter was $51.5 million, which is an increase of $2.9 million or 6% from the second quarter, but a decrease of $1.2 million or 2% year-over-year. Non-GAAP net income which excludes amortization of acquisition related identified intangible assets, as well as stock based compensation was $57.9 million in the third quarter, an increase of $5.1 million or 10% sequentially, but a decrease of $1.3 million or 2% year-over-year. Diluted earnings per share for the third quarter was $0.72, an increase of 6% sequentially, but a decrease of 3% year-over-year. Non-GAAP diluted EPS was $0.81 in the third quarter, up 9% sequentially, but down 2% year-over-year. Please be reminded that we believe our non-GAAP diluted earnings per share, which excludes costs associated with share based compensation and amortization of acquired and intangible assets, is a better measure of our core operating results and trends. Our overall net trade cycle remains flat sequentially at 8.2 days and our return on working capital is 31%. We generated $105 million of cash flow from operations during the quarter, compared to negative operating cash flow of $106 million last quarter and negative $79 million in the third quarter of last year. Year-to-date operating cash flow is now positive $48 million. With respect to cash collateral deposits related to derivative contracts, since there was a lot of discussion following last quarters call, I’d like to go back to the results reported on the second quarter for a moment; let me repeat the past. Over the past several months, we began transacting a meaningful percentage of our derivative activity over commodity exchanges, reducing over the counter activity, resulting in improved profitability from the stream of business and reduced counter party risks associated with over the counter counter parties. While this move reduces counter party risk, it also reduces the benefit of margin thresholds common in the OTC market, as there are no margin thresholds for trades over the exchanges. In the second quarter as the low prices declined significantly, we were required to post more than $100 million in cash collateral deposits, which contributed to $106 million of negative cash flow in the second quarter. In the third quarter however as prices increased, where we generally require cash to fund the increased working capital requirements, cash collateral deposits decreased to $4 million from $140 million in the second quarter and this was the principal contributor to $105 million of positive cash flow for the quarter. So in summary, we very closely monitor our activity levels, both over the commodity exchanges and with OTC counter parties on a regular basis. Currently our positions with the exchanges are significantly lower than in the second quarter, therefore a sharp drop in oil prices today will not have the same short term negative cash flow impact we saw in the second quarter. Please remember however that future oil price declines could still result in short term negative impacts to cash and oil price increases should result in a short-term positive cash flow impact as we saw this quarter. This of course is dependant upon our positions with the various commodity exchanges and OTC counter parties at any point in time. Because of the positive cash flow this quarter, despite the acquisition of CarterEnergy, we finished the quarter with no borrowings outstanding on our $800 million revolver, providing significant liquidity to fund our organic business and additional strategic investments like CarterEnergy. So in closing we continue to execute on our long-term growth strategy. By capitalizing on organic growth opportunities and strategic investments, we are pleased to have completed another accretive acquisition in the land segment, which will provide new growth opportunities and brings with it a very talented management team. We continue to maintain a solid liquidity profile and a strong balance sheet, which allows us to differentiate ourselves in this viable economic environment, and finally we will continue to explore opportunities across all of our businesses, in order to maximize value for our customers, suppliers and our shareholders. I would now like to turn the call back over to Dana to begin Q&A. Thank you.
Operator: (Operator Instructions). Your first question comes from the line of Jon Chappell.
Michael Kasbar: Hey Jon.
Jon Chappell - Evercore Partners: First question is on the aviation side. As we look at the progression of the gross profit in aviation, $84 million you did in the third quarter, very similar to the $84 million you did in the third quarter of 2011, but then you lost the very profitable government business. We saw a couple of big sequential down techs in the fourth quarter and then the first quarter. So can you just talk a little bit about the big sequential increase in the aviation business? Has there been a replacement of that high margin government business? Is this strictly just the benefit of your commercial business, how does that compare kind of to 12 months ago with the very similar gross profit level?
Ira Birns: Well, I’ll start and I’ll let Mike elaborate after I’m done Jon. So for starters, I called out the positive impact. Yes, they made a positive impact this quarter from volatilities. Since there was a significant upward movement in prices in Q3, we certainly benefited from that and as I said, in excess of $5 million. You may remember that in the second quarter we made kind of the opposite comment because of declining prices. We had a negative impact of between $6 million and $7 million. So if you look at the absolute value, that’s $11 million to $12 million delta quarter-over-quarter. So that makes up a pretty large chunk of the sequential increase. On top of that, we had 8% growth across both our commercial and general aviation business, excluding government. So once again government was generally flat and I picked up some additional profitability there. So Mike may want to elaborate on the longer-term comment. 
Michael Kasbar: I think the only comment that I’ll add is, as we continue to diversify our business and look for opportunities, the inventory side and that story has been a long term story as we’d look to obtain competitive pricing and work the supply logistics, certainly in the United States and we’ll start to do that in all locations, and certainly our government story, we’ve talked about that quite a bit. The name of the game ultimately is to continue to grow and build scale and diversity, so that essentially we are getting noise canceling in all of our business activities and we are continuing to get growth in all of our areas. Its just that some of the business activities are just not as smooth and readable as others, but we are certainly oriented to continue to drive into all of these areas that create value and look to establish us further within the supply chain on transportation fuels.
Jon Chappell - Evercore Partners: Great, thanks Mike. And then on the marine side, I tend to always come back to this, but you’ve clearly been a little bit more, I think conservative probably with your risk management there as the volumes down relatively meaningfully year-over-year and then pretty flat base throughout this year, not showing any seasonal benefits. Can you just talk a little bit about how your risk management in an industry that’s really down in it’s luck is progressing and then kind of how that lower volume may or may not relate to the big step up in provision for bad debts in the third quarter.
Michael Kasbar: Certainly our risk teams are very engaged in the business. They are traveling around a hell of a lot more these days than they used to. As I’ve said in previous phone calls, it’s a lot of engagement, so the demand is off as you know, we got a good amount of slow steaming. We are pleased with the results within the business activity on the reserve. I don’t know Ira if you want to make any particular comments on the reserve?
Ira Birns: Yes, on the reserve you’ll notice that the $3.6 million expense we took this quarter was the highest that we’ve seen in a while. The principal driver of that as I alluded to in my prepared remarks was a fairly significant increase in receivables, which has an impact on our provisioning process. That’s probably about two-thirds of the impact in terms of this quarters reserve and then believe it or not, marine had a very small impact in terms of write offs. We actually had a couple of write offs, but they were on the aviation side of the business. So testament to our marine credit team, the risk management team, navigating in this very difficult market place, we continue to perform very, very well, once again using our somewhat conservative profile from a risk management perspective, which I think one needs in this type of environment and we’ve avoided the minefield so to speak so far.
Jon Chappell - Evercore Partners: Great. And just as my follow-up Ira, you talked about the liquidity in your last couple of remarks. Can you just kind of help us think about what your fire power is for investment; whether its external investment through acquisitions or organic investment in the business versus the amount of cash that you need, that your comfortable with on the balance sheet as we go through a volatile kind of oil price environment.
Ira Birns: Look, we have a revolver that’s basically untapped; we have a few million outstanding on letters of credit, so I think that speaks volumes. An $800 million revolver, pretty much fully available to us on top of – in terms of short term swings in day-to-day business, that’s what the cash is there for. So $130 million plus in cash is generally the range of where we look to manage that number. We generally run between $100 million to $150 million. So that really leaves the revolver as a tool to invest organically and invest in strategic acquisitions. This quarter as an example we bought Carter, but positive cash flow covered that well beyond the money that had to go out the door to cover Carter, so we actually improved our overall position despite making an acquisition. But we continue to review our capital structure on a regular basis, analyze the opportunities that we have out there and for now we are very comfortable, but that could change based up on dynamics of the business or opportunities that arise sometime in the near to medium term future.
Jon Chappell - Evercore Partners: Great. Thanks a lot Ira; thanks Mike.
Operator: Your next question comes from the line of Kevin Sterling.
Kevin Sterling - BB&T Capital Markets: Good evening gentlemen.
Michael Kasbar: Hi Kevin.
Kevin Sterling - BB&T Capital Markets: Ira, it looks like your tax rate is a little bit higher this quarter. What was the primary driver of that and how should we think about the tax rate going forward?
Ira Birns: Well, as I said in my prepared remarks Kevin, it all has to do with the mix of income at any given quarter. This quarter the mix of income was much more heavily tilted towards the U.S., which obviously has a much higher tax rate; I won’t make any political statements and that drove the tax rate to a bit over 21%. Our current expectations is that we’ll probably remain in that zip code in the fourth quarter and once we get through next quarter, I’ll telegraph what things look like in the first half of next year. So I believe I said 19% to 23% would be the range for the fourth quarter.
Kevin Sterling - BB&T Capital Markets: Okay. And you talked about some competitive pressures in your crude oil marketing joint venture. What’s causing that and how long do you think it will continue? I think you said it should continue into the fourth quarter, but do you have any visibility beyond fourth quarter.
Michael Kasbar: Kevin, I think probably the right way to look at that, this is a fairly standard market reaction. Wherever there is hay being made, you get a lot of people rushing in and you get a lot of competitive pressures. So whether it’s the crude oil market or whether it’s a new grade of fuel that in the beginning of that market dynamic is readily available and there is significant margin opportunity, you get competition coming in. So that’s exactly what’s happened there. We don’t feel bad about it. We think that we’ve got a good long run. We are positioning ourselves. We like the expertise that it’s given us in terms of logistics in another product. So we believe that that will now just start to evolve into a more normal margin business activity. It will continue to grow the volume and it will become another business line that we are looking to expand. So I think we commented and called that out last quarter and we expect that it will carry on much the way it is today. To take on the profile of one of our normal lines of business, we’ll look to grow it. How big it will get, I can’t exactly tell you right now, but that phenomena I think is here to stay as I’ve spoken about in previous phone calls, but I think it will take a more normalized profile.
Kevin Sterling - BB&T Capital Markets: Okay, thank you. And as a kind of a follow-up here, Ira you spent some time talking about your derivative exposure. In a nutshell, if you reduced your derivative exposure and do you feel better about kind of where you stand with that, so you won’t have the wild swings like we saw a couple of quarters ago. Is that the right way to think about it? I guess you’re more comfortable with your new derivative exposure.
Ira Birns: Yes thanks. Good that you asked the question Kevin, because you probably can’t talk about this enough after all the questions we got last quarter. I wouldn’t necessarily characterize as derivative exposure. It’s the nature of the positions that we have over the exchanges versus over the counter positions, which are generally offsetting positions that we have booked with the customer, which is a profit stream for us. So that number will bounce around. I can’t go and tell everyone that we won’t necessarily have a position in the range of what we had in the second quarter ever again, but one thing to point out is that the movements related to the positions that we have, whether it be over the exchange of OTC driven by price increases or decreases are very short term movements. So as an example, in the second quarter the price decline tended to be steepest towards the end of the quarter, which resulted in cash going out the door faster than our working capital position would naturally decline because of lower prices, which would pretty much more than offset – not pretty much, but more than offset the impact of those derivative positions on cash, so there are tiny elements to this. At the end of the day our price decline is still going to result. It should almost always still result in a overall positive impact to cash, but the impact with the exchange is immediate and working capital declines take 30, 40 days to occur. So I think that’s something that we are just trying to educate everyone on. That’s an important part of our business and a growing part of our business and we are obviously very focused on understanding the related cash flows and forecasting within maybe and managing them very intelligently. So that’s the best way that I can describe that for you.
Kevin Sterling - BB&T Capital Markets: That’s helpful, thank you. So it sounds like it really is just kind of a timing issue. So thank you for that color and clarification.
Operator: Your next question comes from the line of Jack Atkins - Stephens Inc.
Jack Atkins - Stephens Inc.: Good afternoon guys. Thanks for taking my questions. First off here on the CarterEnergy deal, was that acquisition accretive at all to earnings in the quarter? Could you maybe comment on that and then also sort of where you stand in the integration of CarterEnergy into the overall business?
Ira Birns: Well, I’ll answer the first part of let Mike cover the integration piece. It was only a month Jack, so I would say it had a negligible impact on EPS, because if you just look at what we had projected for the annual accretive impact of Carter and divide by 12, your not going to get much of a number; your going to get less than a half a penny. 
Michael Kasbar: On the integration Jack, one of the beautiful things about CarterEnergy and many of the companies that we’ve acquired is they are well run companies with very competent teams. Carter was a pretty evolved organization, pretty well thought of in the marketplace, considered one of the better operators if not one of the best, so integration is pretty easy. We closed on that transaction I think in record time, simply because they were so well organized and we are continuing to build out our platforms and plug in the systems. So I’d say that we are certainly culturally, it’s a bit of a love fest and the organizations have come together very nicely, so to a certain extent that’s the most important element of integration. So the teams have been working together extremely well and as the beauty of this space is, it’s a bit of regional business that we are adding, a bit of a national dimension too, so all of these companies are running their operations and benefiting from our larger scale and the depths of our functional departments that bring a level of expertise. So we are well along the way and there is a lot more to come. So there is a good amount of innovation, there is a good amount of growth synergies. So that’s probably more than you asked, but I think the answer is yes. 
Jack Atkins - Stephens Inc.: Okay, great. Thank you for that color Mike, I appreciate that. And then when we think about additional M&A or just the M&A pipeline in general, Mike I’m just a bit curious to hear your thoughts on sort of the pipeline looks like for additional acquisition opportunities here now that you have CarterEnergy closed and then more broadly, when you think about the balance sheet, and I know you touched on this earlier, what level of leverage would you be comfortable putting on the balance sheet, maybe temporarily, maybe longer term as you think about investing in M&A. 
Michael Kasbar: Well, I’ll let Ira deal with the leverage and hopefully he’ll answer it the right way, but one the pipeline side of the equation, it’s a very interesting market place. I’ve said it before, there is a lot for sale in the market place. So whether this is a generational thing, whether its just timely, there’s certainly been a tremendous amount of structural change over the last four or five years, with a significant amount of divestiture and a lot of musical changes. So that’s created a huge amount of opportunity, as well as maybe this is just a boomer, a baby boom sort of generation now looking to transition. So there is a heck of a lot of activity in the market place and we certainly are very actively engaged in all of our businesses and all of our geographies and I’d say the biggest change we have is now selection of the best opportunities, so… Our screening is becoming I think a bit sort of finer and a bit focused. The number of opportunities that we have in all of our spaces in rather extraordinary, so we are enjoying the position that we are in. We are little bit different than a lot of other companies. A lot of other companies are either for sale or they will be for sale. They are not necessarily permanent establishment. They may not know that they are for sale, but as they look at the generational changes and some of the private companies that are operating the market place have got difficulties, because there’s certainly significant challenges in terms of price and credit, so you’ve got whether it’s a structural consolidation going on in the market place, there is a lot of actions. So our capabilities are far greater, Ira’s financial team around the world is very engaged, the business development team is very engaged, so we feel pretty good about where we are and our ability to grow through certainly external investment as well as more aggressive organic growth. But that’s going to certainly take time, but we feel good about where we are and what our position is today. 
Ira Birns : Just to follow-up, its Ira, on the leverage question Jack. Its always a difficult question to answer, but for starters if you look at one of the key metrics in defining leverages, debt to EBITDA, so if you annualize our EDITDA in the third quarter and look at our debt, we are below one time, which is certainly no way near the definition of leverage. So I think we have a pretty long way to go in terms of opportunities etcetera, to capitalize on opportunities like Carter, without necessarily adding any meaningful leverage to the balance sheet. We are certainly constrained by covenant and I don’t think we have any desire to get anywhere close to that number. But clearly going from less than one to two, two and a half times, somewhere in that neighborhood is still I believe the market place not considered to be much balance sheet leveraged at all, which provides us with significant availability if you will to make additional investments without adding leverage in a big way. 
Jack Atkins - Stephens Inc.: Okay, that’s great, thank you for all that insight. And then last question, I’ll jump back in queue, just curious if you guys could maybe talk about, do you see any sort of market disruption or maybe even an opportunity caused by the hurricane earlier this week and whether or not you think that could be, I could even say its like a positive to the P&L or negative to the P&L. 
Michael Kasbar: No, I think that fortunately the oil industry and the logistic industry really I think is somewhat an under appreciated industry. What the industry does in order to move oil around in this country in quite extraordinary. So while there’s certainly outages, I don’t think you are going to have the type of scenario that you’ve had in similar natural events. So this one I think is going to be a bit milder and we are not really expecting that there’s going to be a significant impact. 
Jack Atkins - Stephens Inc.: Okay, thank you for the time guys.
Operator: Your next question comes from the line of Ken Hoexter.
Michael Kasbar: Hey, Ken Hoexter, how are you? 
Ken Hoexter - BofA Merrill Lynch: Good, thanks Ira. So just following up on, well actually let me just jump subjects for a second. Ira, can you give an update on the air side, on the Afghanistan, Pakistan, anything going on with that boarder? Are volumes trending down now that U.S. troops continue to withdraw? Can you just provide kind of going back a couple of quarters an update on that. 
Ira Birns: I think when I mentioned earlier, Mike alluded to it as well, I would characterize it as generally steady right now. We don’t expect the results in the forth quarter to be materially different than the third quarter. Look, that could change on a moment’s notice, but based on what we see today, the expectations are that things remain steady. There is word that the Pakistani boarder may open up, but that doesn’t necessarily mean more opportunities, because we’ve been getting our fuel into the northern routes over the past several months. So we watch that everyday. We are obviously focused on continuing to capitalize on the skill set that we built in delivering in that market place, but I would say in the short term, if you are looking at the next quarter or two, the expectations are that the level of activity should remain in the same general neighborhood. 
Ken Hoexter - BofA Merrill Lynch: And then same thing on marine. Obviously you’ve got a great pullback with the demand declining within the sector. Can you talk about anything going on inside of that in terms of share gains or new customer wins or is that a business that not much should be expected until the operations itself turn around. 
Michael Kasbar: No, listen. I think that we are extremely well positioned and our team I think does a phenomenal job. They are I think recognized as being a superior marine fuel counter party, having significant amount of sophistication, whether its outsourcing fuel management, expanding our lubricants activity, the logistics side of it, certainly the financial counter party, the risk management side. So our team continues to develop and evolve and there is not great statistics on the actually consumption in that space. I’m sure that we’ve gained market share, I think that’s unquestioned. So as things start to come back, I think we are extremely well positioned and certainly for those companies that are financially challenged, we got a level of sophistication where we can work with them to get them through some of the darkest days and we’ve done that. Our legal team and our risk team understand how to make good choices there. But certainly as we look at this space, we continue to refine our capability in all of the areas and we’ve got an extremely engaged marine team with the pretty solid global cultures. So we continue to make advances, but it’s a very difficult market place, so you got to be careful about how much appetite you have in all the different places. 
Ken Hoexter - BofA Merrill Lynch: Let me just wrap-up, on the derivative side. I know you already mentioned a lot of questions during the quarter. So maybe flush this out a little bit more, because here’s an example where you reduced your exposure to the exchange and if oils come down now, you are also seeing a lower accounts receivables. I’m sure that you mentioned that you did extend more credit, I guess as business or as prices came up a bit. Can you, kind of just flush that out in terms of is this one those up quarters and then depending on where we go we could see a sizable cash change or there is something as time goes on, reduce that fluctuation on the cash there. 
Michael Kasbar: There are two different of pieces of the puzzle here. If you look at the traditional long-term basics of the business, working capital is a very big part of what we do and working capital will clearly move up and down with oil prices. As Kevin pointed, we had an increase in price this quarter and our working capital balance didn’t increase significantly but it increased, but you didn’t have an overly significant increase in price. Point to point you just had lot of volatility during the quarter, so I think that’s a major of your question. So with a lower position at the exchange of this quarter, if prices continue to decline that should point to the positive, but obviously there are a lot of moving parts in terms of what generates cash flow, our inventory position, etcetera. Our trade cycle, that’s an easy piece of the puzzle because we’ve been keeping that very consistently content, just over a phase for the last several quarters. So its really all about the price movements, which is impacted a bit by this cash collateral story, which I think I have explained in enough detail today, which could have some short term impacts going in the other direction from time to time. But overall the longer term and a declining price environment, we should still be cash flow positive and arising price environment depending upon how steep that increase is, could indeed result in the use of cash, that story hasn’t changed. 
Ken Hoexter - BofA Merrill Lynch: Ira, I’m sorry if you mentioned this earlier. I think I came on just a couple of minutes after you started speaking. But was there any impact from the hurricane on how you are looking at operations or volumes into the next quarter. 
Ira Birns: We are not expecting a significant impact on the hurricane. 
Ken Hoexter - BofA Merrill Lynch: Okay. I appreciate the time. 
Operator: Your next question comes from the line of Alex Brand.
Michael Kasbar: Alex, how are you?
Doug Mewhirter – Suntrust Robinson Humphrey: Actually, this is Doug Mewhirter in for Alex. But actually I had a broader question and you can just go as narrow or as wide as you want in the answer. Everything seems to be just kind of puttering along in terms of economic growth and you are sort of right there along side of it. The U.S. trucking segment has very slow volume growth. There is very publicized troubles in the marine segment and air cargo traffic and passenger traffic isn’t exactly going very well. So how are you getting or what are your prospects for organic growth in this kind of environment and where is it coming from? Is it more from the emerging and frontier market. I know you mentioned that you got some in the U.S. or some of that might have been acquisition related, but if you could just sort of outline that ,that would be great. 
Michael Kasbar: Well, some part of it, as I whatever, I said musical chairs or just the changing dynamics of the market place. If you are a national oil company in one country or you are an independent company, maybe you are a local company, your orientation to extending credit is probably going to be quite constrained. As you are reading the newspapers and seeing the information coming across and you are seeing some failures or you are seeing late payments, you are going to wonder if its better for you to sell to those companies or to work with someone who can give you a little bit of credit enhancement. So while the economic downturn and the demand destruction is certainly not great in one way, it provides and opportunity, and that’s a little bit of the beauty of the business model, by being an asset wide company, having the intellectual capital, having our global network with significant engagement with our legal and financial and risk and commercials and supply teams working in concert. We’ve all worked together for many, many years and having that entire organizing tied globally on one system and having this global community work to deal with international trade and commerce, you it really gives us a leg up and a benefit in down markets. So certainly we enjoyed the benefit of better markets but we also historically have done well in down markets, because we provide the solution to those problems. So that’s one of the ways that we do it and then as I said previously, with the significant amount of divestiture, larger integrated oil companies had global operations. As those companies get divested into local companies, they are looking for global marketing solutions and global risk solutions. So the more change, the more fragmentation, the more opportunity for us to provide solutions and we increasingly provide a full suite of solutions, that bundling, almost turn key approaches to some of these suppliers, as well as the purchasing community. So all of that wrapped together allows us to continue to grow in times that are not necessarily all that favorable. 
Doug Mewhirter – Suntrust Robinson Humphrey: Yes, thanks. A very comprehensive answer and that was my only question. 
Operator: You do have a follow-up from Jack Atkins.
Jack Atkins - Stephens Inc. : Just a couple of quick follow-ups here. First Ira, with bad debt expense in the fourth quarter, do you expect that to be roughly similar to the third quarter? 
Ira Birns: It’s a very tough question to answer, because once again it’s impacted by multiple factors, including what our overall receivable balance position might be. So depending upon what happens to prices over the next two months, depending on what’s happen in the day-to-day management of the business from a receivables management standpoint, it would be way too early to make that call. 
Jack Atkins - Stephens Inc.: Okay then, I got you there and then more broadly with regard to just kind of going back to the joint venture you guys have on the crude marketing and rail logistics joint venture, when you think about opportunity to maybe expand that business, whether its into other geographies in the U.S. or maybe growing with what you are doing there out of the box, can you may be talk about just some opportunities that you see, that you could expand that particular business line. 
Michael Kasbar: Well, sure, I’ll just talk about it generally. It certainly does apply to this situation. But the geographic line, that’s a no brainer, so those opportunities do exist in other parts of the United States. And then the other part of it, I think the name of the game, its always the name of the game, its trying to be one step ahead of where the market is going right, sort of escape to where the buck is going to be. So that market is changing and all markets change, nothing stays the same. So I think the logistics aspect of it, we’ve got different modes of transportation. So I think when you look at our company, you need to think about a multi mobile petroleum, logistics and finance company. So we are looking to provide a service to producers in this case and receivers and deal with all of the logistics in the financing and the handling, and there’s a significant amount of logistics expertise that is required to move that product from point A to point B and there’s a lot of points in between. So most folks pick their poison, so refiners are typically focused on refining and producers are focused on producing and there is a whole lot in between. So we certainly have our game plan. Its changed in the short time that we’ve been involved in it, but we will continue to evolve and we’ve got plans underway to reshape that business and to extend it. Only time will tell if we are making the rights calls on it. So its not an enormous part of our business, but we like it because it sort of demonstrates our ability to take our core competencies and apply them to different markets that have similar characteristics. So I think the greater message is that that type of capability exists for us around the world and we are doing a number of interesting things to take all of our competencies and to logically apply them to the best opportunities that have the biggest growth rates and the biggest returns and the right financial characteristics. 
Jack Atkins - Stephens Inc.: Okay, that will make sense. And then last thing from me, Ira when we think about the health supply business; we saw I think you said a $11 million swing sequentially in that business. Just sort of curious, if you give us just a metrics so maybe we could follow on a day-to-day basis or month-to-month from the outside, as to maybe how that particular piece of business is progressing, because that’s a pretty big swing from quarter-to-quarter and can move numbers around it. Are there any metrics that maybe you could point us towards, you could help us just give an idea how that business is trending here in the quarter. 
Ira Birns: I wish there was an easy answer to that. I can give you a couple of pieces of it, which we covered in the past with the Wall Street community. Cleary if you look at the position that we report, that gives you a feel for how many gallons are involved. So obviously as our level of inventory, our self-supply mode in the U.S. in particular has increased, that just creates opportunity for that number to get a little bit bigger. We talked about basis spreads in the past. So I know, I won’t mention names, but I see a couple of our investors have gotten pretty proficient in tracking basis spreads on a day-to-day basis. So we’ve had a couple of quarters, I think it was three quarters ago where we talked about that in some level of detail, because there was an aberration in basis, but once again what I mean by that for those that may not be as familiar is, there is no perfectly efficient way that heads jut fuel to the market convention, is by entering into heating oil contracts, because the long term coloration between jet fuel and heating oil has been very tight, but sometimes that falls out of the rack and that’s available information. I think part of its subscription based, but I think you can even pick up information like that on Bloomberg, but it may not be a 100% accurate, so that’s you another piece of the pie. And then there are also short-term meaningful gyrations in price, either up or down that will generally have an impact on results in the short term. So if there is a somewhat orderly decline in price over the period of three months versus a one week decline of 5%, that signifies a more likely, it signifies its more likely that you’d have an impact on the inventory side of the business, either up or down when that happens. So those are a few of the kind of leading indicators if you will. I cant say it’s the easiest thing to track externally, but there are some pieces that are easier than others, to at least give you a feel for, this going to be a quarter where the result is going to be positive or this is going to be a quarter where the results are going to be negative. You are never going to nail it to the nearest million dollars, so I hope that helps a bit. Still there Jack? Operator are we…. 
Michael Kasbar: Did we pass our hour? 
Ira Birns: Are we done? 
Operator: Okay, there are no further questions in queue. Presenters if you would like to give closing comments. 
Michael Kasbar: Right, okay well in closing I think I just like to say that we have a positive and strong culture and tremendous global community of professionals, oriented towards and having demonstrated continues value creation over a long period of time, so its taken a generation to create and its difficult to replicate. So its certainly a source of strength and continued growth and we feel very good about it. So on behalf of the 2000 team members operating from 60 officers around the world, I thank you for your support and look forward to talking to you next quarter. 